Operator: Greetings, and welcome to the Cemtrex Second Quarter 2024 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 Before we begin the formal presentation, I would like to remind everyone that statements made on the call and webcast may include predictions, estimates or other information that might be considered forward-looking. While these forward-looking statements represent our current judgment on what the future holds, they are subject to risks and uncertainties that could cause actual results to differ materially. You are cautioned not to place undue reliance on these forward-looking statements, which reflect our opinions only as of the date of this presentation. 
 Please keep in mind that we are not obligating ourselves to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. 
 Throughout today's discussion, we will attempt to present some important factors relating to our business that may affect our predictions. You should also review our most recent Form 10-K and Form 10-Q for a more complete discussion of risk factors and other risks, particularly under the heading Risk Factors. 
 A press release detailing these results was issued this afternoon and is available in the Investor Relations section of our company's website, cemtrex.com. 
 Your host today, Saagar Govil, Chief Executive Officer; and Paul Wyckoff, Chief Financial Officer, will present unaudited results of our operations for the second quarter ended March 31, 2024. 
 At this time, I will turn the call over to Cemtrex's Chief Executive Officer, Saagar Govil. Please go ahead. 
Saagar Govil: Thank you, operator, and good afternoon, everyone. I'm pleased to welcome you to today's Second Quarter 2024 Financial Results Conference Call. The second quarter of our fiscal year 2024 was highlighted by new technology deployments and continued overall growth across our business. 
 For the second quarter, Cemtrex had revenue of $17.2 million, an increase of 7%, and our gross margin was 40%. Operating loss for the second quarter was $1 million compared to operating income of $0.4 million a year ago. Operating loss for the 6-month period was $1.8 million compared to $1.5 million in the prior year despite higher sales. However, these results include approximately $1 million in onetime expenses from employee-related charges and legal expenses that we do not anticipate incurring in the future. 
 Our goal of reaching a full year operating profit remains and we are working hard to drive revenue and maintain tight cost controls. 
 Revenues in our Security segment in the second quarter decreased by 18% to $8.1 million. The decrease was due to the delay of certain projects in the Security segments, products and services. Despite the delay in some of the Vicon projects, the segment is still showing year-over-year growth for the first half of the fiscal year. 
 Vicon continued to introduce new technologies and products, including the deployment of Anavio, Vicon's innovative new cloud security platform. 
 Anavio enabled users to manage their access control, video and intercom via a single tool to streamline and ultimately achieve complete situational awareness and control. 
 Some of the new features of Anavio include face authentication that ensures only authorized people can access facilities and a powerful person of interest feature whereby users can forensically track a specific person or multiple people throughout a facility. 
 We continue to invest in our sales and marketing resources in the Security segment, with the goal of driving sales growth over the next several quarters. We are also striving to increase operational efficiency and have reduced inventory by over $1 million for this fiscal year. 
 With the launch of Anavio along with new technologies and continued improvement to our core software platform, Valerus, we expect to drive further growth and see additional opportunity to grow gross margin in 2024. 
 Revenue for our Industrial Services segment, AIS, increased 47% to $9.1 million, mainly due to increased demand for our services as well as additional business from the highly synergistic acquisition of Heisey Mechanical. We believe this segment will produce a record year of revenue driven by new orders from leading companies and a robust growth pipeline. We continue to believe with additional orders ahead, AIS has the potential to reach more than 30% annual growth in fiscal year 2024. 
 During the second quarter, AIS secured orders, including a $1.6 million order for 2 relocation projects from the leading printing and graphics company and a $0.5 million order to remove existing equipment for an engineering and construction company, which affirms AIS' commitment to delivering excellence across its service offerings. 
 I'll now turn the call over to Paul Wyckoff, our CFO, to discuss financials. 
Paul Wyckoff: Thank you, Saagar. Revenue for the second quarter of 2024 and 2023 were $17.2 million and $16.1 million, respectively, an increase of 7%. The Security segment revenues for the first quarter of fiscal 2024 decreased by 18% to $8.1 million. The Security segment decrease was due to a delay of multiple projects for the segment's products and services. 
 The Industrial Services segment revenues for the quarter increased by 47% to $9.1 million, mainly due to increased demand for the segment services as well as additional revenue due to the Heisey acquisition completed during the fourth quarter of fiscal year 2023. 
 Gross profit for the second quarter of 2024 was $6.9 million or 40% of revenues as compared to gross profit of $7.3 million or 46% of revenues for the second quarter of 2023. 
 Total operating expenses for the 3 months ended March 31, 2024, were $8 million compared to $7 million in the prior year's quarter. Operating loss for the second quarter of 2024 was $1 million as compared to an operating income of $0.4 million for the second quarter of 2023. The operating loss was primarily due to a decrease in gross profit in our Securities segment and overall increased payroll expenses. 
 Net loss for the second quarter of 2024 was $1.6 million as compared to a net loss of $0.6 million in the second quarter of 2023. Cash, cash equivalents and restricted cash totaled $4.1 million at March 31, 2024, as compared to $6.3 million at September 30, 2023. 
 Subsequent to the second quarter, the company closed a firm commitment under in public offering with gross proceeds of the company of approximately $10 million. Inventories decreased to $7.4 million at March 31, 2024, from $8.7 million at September 30, 2023. 
 I will now turn the call back to Saagar for a review of our 2024 outlook. 
Saagar Govil: Thank you, Paul. Looking ahead, we are well positioned to build on our momentum and remain focused on our goal to achieve positive operating income in fiscal year 2024 on a full year basis. We have strengthened our balance sheet from the $10 million upsized underwritten public offering we closed, of which a portion of the proceeds were used to pay off some of our indebtedness. 
 We continue to explore acquisition opportunities that have the potential to enhance our market reach and service capabilities and further drive growth in the months and years ahead. 
 We remain focused on delivering incremental growth and positive operating results, along with diligent balance sheet management, and we are committed to achieving positive operating income for the full year fiscal year 2024. Thank you all for attending. 
 And now I would like to answer your questions. Operator? 
Operator: [Operator Instructions] And your first question comes from the line of Jared Cohen with JM Cohen & Company. [Operator Instructions] 
 And we currently have no questions at this time. I would like to turn it back to Saga Govil for further remarks. 
Saagar Govil: Thank you, operator. I would like to thank each of you for joining our earnings conference call today and look forward to continuing to update you on our ongoing progress and growth. If we were unable to answer any of your questions, please feel free to reach out to our IR firm, MZ Group, who would be more than happy to assist. Thank you. 
Operator: Thank you, presenters. And ladies and gentlemen, this concludes today's conference call. Thank you all for participating. You may now disconnect.